Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Brenntag SE HY 2025 Results Call and Live Webcast. Please note that the call will be recorded. [Operator Instructions]. I would now like to hand the call over to Thomas Altmann, Senior Vice President, Corporate Investor Relations. Please go ahead.
Thomas Altmann: Thank you, Alice. Good afternoon, ladies and gentlemen, and welcome to the earnings call for the second quarter of 2025. On the call with me today are our CEO, Dr. Christian Kohlpaintner; and our CFO, Thomas Reisten. They will walk you through today's presentation, which is followed by a Q&A session. All relevant documents have been published this morning on our website in the Investor Relations section, where the replay of today's call will be available. Allow me also to point you to our safe harbor statement, which you'll find at the end of the slide deck. With that, I will now hand over to our CEO, Christian, over to you.
Christian Kohlpaintner: Yes. Thank you, Thomas, and good afternoon, ladies and gentlemen. I will start with the highlights of the second quarter 2025, and Thomas Reisten will then walk you through the details of our financial performance. Our second quarter was characterized by a high degree of economic uncertainty in light of ongoing geopolitical tensions and unresolved global tariff discussions. This led to a noticeable slowdown in demand and increased pricing pressure across different end markets, which we expect to continue throughout the second half of 2025. The slowdown in demand impacted both divisions, whereas the pricing pressure had a strong effect in our Essentials business. At the same time, the further depreciation of the U.S. dollar against the euro since the beginning of the second quarter had a negative effect on our earnings development. Sales for the second quarter amounted to EUR 3.9 billion, which is 4% below the prior year period. Operating gross profit decreased by 2% and stood at EUR 974 million. Our operating EBITA amounted to EUR 246 million, which is 14% below the prior year period. We generated a free cash flow of EUR 153 million. Earnings per share stood at EUR 0.30 compared to EUR 1.03 last year. The decline is largely driven by special items and impairments on goodwill and other intangible assets in our Essentials business, particularly in Latin America. Our cost containment measures supported our underlying cost development in the second quarter with EUR 30 million of savings. Let me say a few words on the outlook for 2025. As a result of the aforementioned economic and geopolitical circumstances as well as the impact from unfavorable changes in euro-U.S. dollar exchange rates, we adjusted our operating EBITA guidance for the full year 2025 and now expect our operating EBITA to be in the range of EUR 950 million to EUR 1.050 billion, as already communicated on July 11. Let us take a look at the overall market environment in more detail. Both divisions were impacted by muted customer sentiment leading to an overall slowdown in demand across different end markets. Ongoing geopolitical tensions and further escalations in the Middle East as well as unresolved global tariff discussions, created a high degree of economic uncertainty. Although the direct impact of tariffs on our business is rather limited since the vast majority of our products are stored and sold within the same region, we must acknowledge that we are not immune to secondary or tertiary effects. These effects are significantly larger, and the impacts are already evident. In this challenging environment, both Brenntag divisions continue to focus on leveraging business opportunities, realizing cost savings and executing their strategic initiatives. Brenntag Specialties continues to focus on improving its performance through a combination of short-term and long-term levers. The division saw a significant gross profit per unit improvement compared to the prior year period due to ongoing price and margin management initiatives. At the same time, Brenntag Specialties is on track to deliver the cost-out plan for 2025. In Brenntag Essentials, we are executing our triple strategy, focusing particularly on improving efficiencies, processes and infrastructure in our last mile service operations and our regional and global sourcing activities. In addition to our divisional strategies, we continued our M&A activities in the second quarter 2025. We acquired MCE Pharma in the Czech Republic setting the foundation for entering the rapidly growing biopharma market in EMEA. Furthermore, we signed and closed the acquisition of GSZ Kaiserslautern, acquiring a state-of-the-art facility for hazardous substance storage in Germany. The site's solid and liquid mixing and blending capabilities significantly expand and complement our Brenntag Essentials service offerings in Central Europe. Let me briefly address our progress on our sustainability efforts, which is recognized and regularly rewarded by external ratings. For example, Brenntag was recently awarded the Gold rating in the comprehensive 2025 EcoVadis Sustainability Assessment and was placed among the top 3% of all rated companies worldwide. In the latest CDP climate change rating, Brenntag was ranked among the top-rated companies globally, achieving a leadership A- rating for the first time. The CDP assessment underlines our progress made in recent years, including the validation of our Scope 1, 2 and 3 emission reduction targets by the Science Based Targets initiatives, SBTi. Let me now hand over to Thomas Reisten, who will explain our financial results in more detail. Thomas?
Thomas Reisten: Thank you, Christian, and good afternoon also from my side. I will start with the key figures from our income statement in the second quarter of 2025. As a reminder, when talking about growth rates, we generally talk about FX adjusted rates. Sales amounted to EUR 3.9 billion, which is 4% below the prior year period. Operating gross profit decreased by 2% and stood at EUR 974 million. Gross profit as a percentage of sales stood at 25.2%, and increased slightly compared to last year, which indicates that we managed gross profit to our advantage despite increased pricing pressure from industrial chemicals. To provide more details on our OpEx development, we showed a bridge in the top right corner of the slide. In the second quarter of 2024, we reported operating expenses of EUR 642 million. Additional costs from newly acquired entities led to an increase of around EUR 15 million. The translation of foreign exchange effect in the second quarter 2025 decreased our costs by EUR 20 million. Underlying OpEx increased by around EUR 35 million particularly driven by wage inflation. At the same time, we continue to reduce our absolute head count number. The cost containment program contributed around EUR 30 million of savings in the second quarter. Therefore, on an organic basis, our operating expenses remained almost stable. As a result, operating expenses for the group stood at EUR 640 million in the second quarter of 2025. Our top line performance in combination with our OpEx development translated into an operating EBITDA of EUR 334 million, a decline of 10% year-over-year. Our operating EBITA amounted to EUR 246 million, which is 14% below the prior year period, respectively. Let me briefly comment on the development of special items below operating EBITA. In the second quarter, special items had a negative impact of EUR 38 million. This includes costs for our strategic projects in the amount of EUR 8 million, which are mainly related to severance and advisory expenses, which will help to achieve the desired cost reduction targets and drive the targets of disentanglement of our 2 divisions. Furthermore, we incurred expenses for legal risks, mainly arising from the sale of talc and similar products in North America in the amount of EUR 10 million. Another EUR 10 million of costs were booked in connection with the sale of Raj Petro Specialties in India, which we initiated already in 2024. And lastly, EUR 9 million are associated to impairment losses related to the optimization of our site network. In addition to the special items, I would like to highlight another onetime nonoperating effect, which impacted our net profit negatively. We had to book impairments on goodwill and other intangible assets of the Brenntag Essentials Latin America segment in the amount of EUR 83 million. The impairment losses are related to lower earnings expectations in combination with the reduction in the long-term growth rate for this region. As a consequence, earnings per share stood at EUR 0.30 compared to EUR 1.03 last year. Let us take a closer look at the EBITA development on Page 5. In the second quarter of last year, we reported an operating EBITA of EUR 297 million. The translational foreign exchange effect in the second quarter of 2025 had a negative impact of EUR 11 million. Acquisitions contributed EUR 6 million to the operating EBITA development. In the second quarter of 2025, we reported an operating EBITA of EUR 246 million for the group, which was 14% below the prior year figure. Organically, the operating EBITA declined by EUR 46 million compared to the second quarter of 2024. The EBITA conversion ratio for the group came in at 25.3%. Our results were overall characterized by a continuously challenging market environment and increased economic uncertainty, which led to a slowdown in demand across different end markets, leading to lower volumes and increased pricing pressure. On the next slide, we will discuss our divisional performance in more detail. Brenntag Essentials reported an operating gross profit of EUR 696 million, which is 1% below the second quarter of 2024, driven by lower performances in EMEA and North America. The gross profit margin in relation to sales stood at 26.3%, which is slightly higher compared to the prior year period, reflecting our ability to manage margins in a challenging business environment. Brenntag Essentials achieved a positive volume development in EMEA, Latin America and APAC, whereas North America was challenging. Unfortunately, this volume development was not able to offset a lower gross profit per unit was impacted by increased pricing pressure in the second quarter of 2025, leading to a decline in absolute gross profit of around 1% for the division. Operating expenses for Brenntag Essentials increased year-over-year, mainly driven by our acquisitions. On an organic basis, expenses remained more or less stable. Inflationary cost increases were mitigated by our cost containment measures. Operating EBITA of Brenntag Essentials stood at EUR 177 million, this is 13% below the second quarter of last year. The EBITA conversion ratio for the division came in at 25.4%. Let us now look at Brenntag Specialties. Brenntag Specialties reported an operating gross profit of EUR 278 million, which is 3% below the second quarter of 2024. Although we achieved a significant improvement in gross profit per unit compared to the prior year quarter, the increase was not sufficient to compensate for the overall slowdown in demand, which Christian already commented on. The gross profit margin in relation to sales stood at 22.8%, which is slightly higher compared to last year. Operating expenses for Brenntag Specialties also increased slightly year-over-year, which is partly driven by acquisitions. On an organic basis, higher personnel costs, general inflation-related cost increases and costs from strategic investments could not be fully offset by our cost containment measures. Overall, operating EBITA declined by 11% and reached EUR 99 million. Segment Life Science reported a year-on-year operating EBITA decline of 8%, whereas the operating EBITA in Material Science declined by 17%. The EBITA conversion ratio for Brenntag Specialties was 35.5%. We briefly comment on the gross profit development of our business units within the segments. In our Life Science segment, only the business unit Pharma was able to deliver a positive performance compared to the prior year period. Whereas our business units, Nutrition and Beauty & Care were down year-on-year. In Nutrition, we saw a continuation of the positive performance in EMEA with a strong gross profit per unit development. However, Americas continued to be under pressure, mainly driven by lower demand for base ingredients in our North American business. Beauty & Care saw a slight decline in operating gross profit. The performance was mainly driven by market challenges and intense competition in Americas and APAC, while EMEA achieved a positive performance compared to last year. In Pharma, our operating gross profit increased compared to the second quarter of 2024, driven by solid business development in EMEA and Americas. The operating gross profit in Material Science lower compared to the prior year period and continues to be impacted by the higher interest rate environment, which keeps housing construction and public investments at lower levels. In addition, demand was negatively affected by global tariff discussions. Let's now have a look at the free cash flow development. In the second quarter of 2025, we generated a free cash flow of EUR 153 million, compared to EUR 158 million in the same period last year. The decline in earnings was partly compensated by slightly lower CapEx and lower cash outflow for working capital compared to the prior year period. Our working capital turnover in the second quarter stood at 7.4x compared to 7.8x in the second quarter of 2024. Leverage ratio, net debt to operating EBITDA stood at 2.1x. Let me close the outlook for the remainder of the year. As already communicated on July 11, we adjusted our operating EBITA guidance for the full year 2025 and now expect our operating EBITA to be in the range of EUR 950 million to EUR 1.050 billion. Adjustment is to a large degree, driven by unfavorable developments of euro-U.S. dollar exchange rates since the beginning of the year, which have had a significantly negative impact on our earnings and which we expect to continue throughout the second half. Our adjusted guidance assumes an average euro-U.S. dollar FX rate of EUR 1.13 for 2025, which assumes a second half run rate of EUR 1.16. This compares to an average euro-U.S. dollar FX rate of EUR 1.05, with the basis for our initial guidance provided in March. In addition, the overall market environment has been characterized by a high degree of economic uncertainty in light of ongoing geopolitical tensions and unresolved global tariff discussions. This led to a noticeable slowdown in demand and increased pricing pressure across different end markets, which we also expect to continue in the second half of this year. With this, I would like to close the presentation and hand back to Christian.
Christian Kohlpaintner: Yes. Thank you, Thomas, and ladies and gentlemen, and dear valued shareholders and analysts. As this will be my last earnings call as CEO of Brenntag, I would like to sincerely thank you for the valuable exchanges we have had over the last 6 years and for your interest and trust on the strategic path we have taken. I'm firmly convinced that Brenntag is exceptionally well positioned to continue to shape the future of our industry. On this note, I wish the incoming CEO, Jens Birgersson, and his team as well as all of you the very best for the future. Thank you for participating in today's call, and we now look forward to your questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Suhasini Varanasi at Goldman Sachs.
Suhasini Varanasi: I have a couple, please. Can you please discuss how trends were in July? And did you see any improvement versus what you saw in June? And if there was any differences by region or by verticals? And just to clarify, the new guidance -- the second question is on the guidance for the full year. Very helpful to hear the FX comments. But can you maybe discuss how -- what have you factored in on the underlying performance of the business? And therefore, how should we think about quarterly performance on EBITA going into second half of the year?
Christian Kohlpaintner: Suhasini, thank you so much for the questions. I'll take the first one and Thomas will talk about the guidance. On the trends of July versus June, I think we had a rather decent and good start into the third quarter. But again, we have seen this kind of pattern before that we actually start well into the quarter and then the decisive months are actually the last month of a quarter like this time, September once the holiday season is over. But overall, we had a good start into Q3, with July showing a substantially better performance than June. Thomas?
Thomas Reisten: Sure. So on the guidance overall, I mean, to first talk about FX rates and to really be clear on that one. So the average FX rate that we've assumed is 1.13. This obviously assumes the whole movements in the first half. And in the second half, this then implies an FX rate of 1.16 for the second half. So that then again, comes to the average of 1.13 across the whole year. In terms of overall underlying performance, we expect a continuation of current market environment. So meaning actually the current economic uncertainty, the uncertainty of being still unresolved elements of the global tariff discussions to continue in that context. And this leading to actually a continuation of the weakness of demand and the pricing pressure at similar levels, actually that we have seen most recently then as well. If you think about this then in terms of potential upside factors, obviously, if we see an adjustment on the volume growth, i.e., the demand is increasing. This would have actually a positive impact on to our results. And the other element is actually related then if pricing would actually come back to higher levels, albeit we haven't seen the recovery in the chemical cycle actually gaining traction at this point in time. The downside factors on the adjusted guidance would be the opposite, i.e., actually, we see even more pricing pressure coming into markets, in particular on the BES side. So if that would increase further compared to what we are seeing actually today that could actually have a negative impact on to our overall guidance. And then the same -- just obviously, if you look at the volume growth, if there's further demand, weakness coming in on top of what we are seeing today that would as well be a negative impact. And then quite logically, FX rates, 1.16, we've seen that fluctuating most recently around that 1.16. So I think we are okay on that. But if this actually increases in the wrong direction, then there could be some weakness anticipated from them.
Operator: Our next question comes from Annelies Vermeulen at Morgan Stanley.
Annelies Judith Godelieve Vermeulen: I have 2 questions, please. So firstly, on the impairments. Could you talk a little bit about what changed in LatAm in terms of what these lowered growth assumptions look like? How much lower are they relative to your previous assumptions? And whether you have conducted this exercise for all your regions, i.e., should we expect any further impairments as a result of lowering growth and cash expectations? And then secondly, you mentioned some intense competition in Beauty & Care, and we've heard from other players in the industry regarding increased competition from Chinese distributors. Are you seeing this in your business? And if so, in which geographies?
Christian Kohlpaintner: I think Thomas will talk about the impairment, and then I can add a few words on the Beauty & Care competition landscape. Thomas?
Thomas Reisten: Yes. So on the impairment point, so what has changed in LatAm. You were asking actually what has triggered that? Well, the headroom in the past has been actually limited on this -- in any case. So it's a region in which we obviously have seen pressure on to the overall business development. And ultimately, this has now triggered in the regular reviews that we do every half year in terms of impairment reviews across all regions, across all cash-generating units. The LatAm region was obviously not -- we couldn't actually hold the goodwill on the LatAm region and had to overall write down that goodwill, which is the main factor of the EUR 83.3 million write-down of goodwill and intangible assets. What we are seeing as well is that these overall -- it's the general business sentiment we are seeing in LatAm plus actually growth projections into the future. So it's current economic climate that is affecting that, the sluggishness in demand that is affecting as well, in particular LatAm. You can expect the tariff environment for the LatAm region to affect this significantly in the current environment. And then as I said, forward-looking growth projections actually have been reduced as well. And that's the reason why we had to take that technical step of writing down the goodwill of the LatAm region. We continue to do as well to the second part of your question to review all areas across the business, so all so-called cash-generating units and make sure that we are actually up-to-date on potential impairments if they actually would happen. Obviously, we haven't taken a step on that in this quarter and this half yearly review, so you can assume that there's a -- that there's no need to write down further cash generating units at this point in time. This cannot exclude that in the future, if the business environment worsens, there might be some aspects. But as I mentioned to the previous question, in terms of guidance, all of this has been factored in, and we've significantly derisked the bottom end of the guidance.
Christian Kohlpaintner: And Annelies on the Beauty & Care, yes, indeed, we saw the strongest competition pattern in the Americas and in APAC, different reasons. I would not clearly say that these are distributors out of China, which are causing in APAC. The competition, I think, is just the general fight for volumes at this moment because, again, we talk about strongly underutilized assets everywhere in the world. It's not only in Asia, it's not only in China, it's also in Europe and North America, so I don't see that necessarily in the same way. But it is currently overall, I would say, highly competitive in Beauty & Care. And we only had also a slight decline in the operating gross profit to be fair. EMEA was actually performing quite well we have to say, but that was skewed by the worse -- as I said, the underperformance of Americas and APAC out of different reasons.
Operator: Our next question comes from Tristan Lamotte at Deutsche Bank.
Tristan Lamotte: The first one is kind of related. I'm just wondering, taking a step back, it feels a bit like chemicals has felt the second order impact of tariffs more than other industries. I'm wondering if you think there's been some destocking, which has increased the impact? And do you think that, that kind of weak Q2 for chemicals is kind of a temporary blip? Or are there some shifts in global trade flows that are -- could be the sort of structural trends and that are concerning?
Christian Kohlpaintner: Yes, Tristan, thanks for the question. I think the second order tariffs, as I said, are something which we -- actually create the higher impact. I think it was clear that towards the end of the quarter, everybody being in supply or being in customers have managed their inventories very carefully. Everything was around cash preservation given the uncertainties which are there. So there could be an element of destocking in the numbers where maybe also a fresh start into July could be a further indicator to that, that we actually saw good development while we entered into Q3. So that could be a temporary in its nature. So I'm still far away from saying this is no structural. The shift in the global trade flows, of course, I mean, there are emerging and picking up as we speak. I mean this is -- sometimes I'm a little bit surprised to hear when people say, well, we don't see anything, we don't see anything, well just wait. At some point of time, these trade flows will adjust to the tariff scenarios in one way or another. And what we need is now clarity, and that clarity is lacking. And postponement of China-U.S. trade agreement for another 90 days, again, is not helpful for anybody. So I think let's wait and see. We do see, of course, in particular, European overcapacity is getting even worse based on that, also the strong competition out of China, which comes because that volumes produced in China will seek a market, and that market for the time being appears to be predominantly Asia Pacific and Europe. And so let's wait and see how that plays out over the next months and quarters. But it is a very delicate and fragile situation at this moment.
Tristan Lamotte: That's helpful. And then second question is on pricing pressure. I'm just wondering, obviously, there has been pressure in Essentials. But I'm wondering to what extent there has been pressure in Specialties? And if there are particular product lines or geographies where there's been more pressure in the Specialty side or if it's mainly just Essentials?
Christian Kohlpaintner: I would say the majority of the effect is Essentials. This is where we could clearly see also, by the way, seasonality plays into role because we sell typically lower margin and lower priced products during the pool seasons, Q2 and Q3. So this is not unusual that you actually see a slight decline from Q1 into Q2 on the sales price. But it's clear that the selling prices, the average selling prices, for instance, for the products which we sell across all value chains, across all products continue to decline, in particular in Essentials and here, in particular, in Europe. This is very clear reflection of the pressure coming out of Asia, out of China into the European markets pursued being it real, but that's the way it is at this moment. This has been significantly less pronounced in Specialties. Here we talk about more stable average selling prices, still slightly eroding, but by far not to the extent like our Industrial Chemicals business, which you would expect in such a situation. So from a pattern, I would say everything appears to be intact, given the competitive environment we're operating in at this moment.
Operator: Our next question comes from Carl Raynsford at Berenberg.
Carl Raynsford: Three questions from me, please. I'm tempted to take these one by one. I think I'll do that. But the first, what degree of spare capacity have you currently got in the cost base despite these cost-saving measures because clearly, Q2 suffered from operating deleverage as we expected. So I'm just intrigued by if you'd expect a significantly higher drop-through and incremental volume improvement whenever that may come versus what you're used to in the past?
Christian Kohlpaintner: Carl, you were a little bit difficult to understand. So the -- I don't know if Thomas has got the cost containment topic -- cost-out program?
Thomas Reisten: So when we -- so if we've understood your question correctly, you were asking actually about spare capacity that we have in our cost base.
Carl Raynsford: Yes, Thomas.
Thomas Reisten: If volume actually would pick up again? And I mean, overall, I mean, this is obviously a question in terms of what we do in all of our locations. Do we have actual spare warehousing capacity that we could actually use? Do we have empty spare transport capacity as well? And could we scale up in terms of actually our delivery to our customers? And I think it's really fair to assume that we can actually. So we do have that potential to benefit very well from a situation in which capacity would increase. So at the same time, we will continue our cost-out initiatives, not affecting our ability to deliver, obviously, to our customers or for our suppliers. So cost containment program continues to deliver actually the expected results. We have delivered EUR 30 million in the second quarter. You will remember that we had actually EUR 30 million in the first quarter as well. So we are well on track to deliver what we've committed for this year to double our cost containment effect and generate another EUR 50 million run rate savings, adding up to about EUR 100 million. Overall, I will emphasize as well on what I've emphasized last time because of the economic situation and the way that actually we are facing demand pressure, we will continue to intensify our cost efforts in both scale and scope and speed actually as well. So -- but having said that, this is not going to affect our ability to scale up when actually demand will come back.
Carl Raynsford: You've answered my second question as well. I'll move on just to the final question, if that's okay. But it's sort of open ended, and I guess it's probably directed to you, Christian, given our sort of conversations over the years. But you talked about oversupply in Latin America and APAC and utilization for manufacturers continues to go lower in Europe. So how far off are we, in your opinion, from some of these manufacturing facilities being sort of decommissioned, whether temporary or permanent. But presumably, at some stage, lower supply in the current environment should be useful for Brenntag in a recovery cycle as we saw in the past?
Christian Kohlpaintner: So I think it comes back to capacity utilization. I think in previous earnings call, I was very explicit about that we were on a good trajectory to see the cyclical recovery in the chemical cycle, in particular, Q4 and Q1, where we could see a pickup in utilization rates across the globe almost, but in most value chains, particularly petrochemical value chains as well. And that was stopped or muted or paused by Liberation Day, which was April 1. Then all of a sudden, this total uncertainty impacted the whole industry, and that led to a stagnation or actually to drop in utilization rates or stagnation at best, I must say. And that, of course, is leaving a gap before you reach a certain level where the capacity utilization rate would be in a region where producers are also then milling to actually increase prices. So with this logic, first comes utilization rate goes up and then pricing a couple of quarters later kicks in that has been paused and broken by the Liberation Day events and everything what we have seen over the last couple of months. And that leaves, I would say, a gap of several percentage points of utilization rates where the industry is away from actually running at decent levels. You can argue, is it 70% versus 80% I would say the current operating level is around 70%. You need to go, well, in the region of 80%, 82%, 85% to have decently filled capacities. So we have still some way to go. But let's be also clear, once clarity is there, once consumer sentiment is improving again, and once also, everybody has digested the new framework on which we have to operate, I believe the cyclical recovery of the industry cycle will kick in again and that can offer quite good pricing opportunities for the industry going forward. We don't expect this in 2025 to be honest. I think we need to be patient until that cyclical recovery really materializes as it would have materialized this year already in the absence of that debate we have around tariffs.
Operator: [Operator Instructions] Our last question comes from Chetan Udeshi at JPMorgan.
Chetan Udeshi: The first question I had was just to clarify, I read somewhere in the report that you had some change in the accounting for DiDEX costs. So I'm just curious has there been any change in terms of moving some of these costs now to below the line or below the adjusted numbers, just to clarify that. The second question was, Christian, you talked about recovery in July or at least a good July. Maybe can you talk about where is that improvement versus what you might have seen in Q2 coming from? Is it Americas, maybe not so bad? Is it any particular end market that you saw looks better because in general, it seems like the environment from at least what I see in terms of pricing, demand still looks quite depressing overall, especially in Europe?
Thomas Reisten: So thank you for these questions.
Christian Kohlpaintner: Thomas will take the first question. I will talk about the second one.
Thomas Reisten: So have we changed actually the way that we are accounting for the DiDEX costs to below the line or -- any changes actually in that? No, is the answer. So we will still obviously account for that in the same way that we have been doing that in the past. So overall cost savings contribute to our EUR 300 million cost saving target in that context and whatever investments we have in the context of DiDEX and the spend comes into our operating results.
Christian Kohlpaintner: And on the July momentum, as I said, we have a decent starting into Q3 with July showing better performance than June. Again, it's too early for me to call out that this will be a positive Q3. I think we all know that September will be decisive for the quarter as usual. Also, we could have seen the restocking to some extent out of really, really strong inventory management towards the end of the second quarter, which could have an impact. But what we saw, which was encouraging for me at this moment is especially a recovery on the Essentials side and also a recovery on the Essentials gross profit per unit, which we can see sequentially coming from Q2 into Q3. Whether this holds up, let's wait and see. That's a little bit too early to call. But at least, July was an encouraging month to start the third quarter.
Operator: Our last question comes from Carl Raynsford at Berenberg.
Carl Raynsford: So I thought I'd jump in with one more if that's okay [indiscernible] got a bit of time. A very quick follow-up on the LatAm impairment, if that's okay, Thomas. But could you maybe explain just exactly where that -- the sort of lower growth projections are coming from, please? I mean is it commodities or specialties mainly, and if there are any end markets in particular? I don't know if it just goes back to sort of China oversupply and if that's a structural change or if we should be thinking about it slightly differently?
Thomas Reisten: No. I mean it's not really a structural change. It's the business environment having actually an impact on to the so-called cash- generating unit of Essentials in LatAm. So it's the Essentials business to be very, very precise on that one that we actually had to correct the goodwill -- write down the goodwill in LatAm. So I guess that answers your question or...
Operator: This concludes the Q&A session. I will now hand back to Thomas Altmann for closing remarks.
Thomas Altmann: Thank you, Alice. This brings us to the end of the conference call. In case of further questions, please do not hesitate to reach out to the IR team. Our results for the third quarter of 2025 will be published on November 12. Ladies and gentlemen, thank you very much for joining us today. Have a good day, and goodbye.
Operator: This concludes today's call. Thank you, everyone, for joining. You may now disconnect.